Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Wheaton Precious Metals 2025 Second Quarter Results Conference Call. [Operator Instructions] I would now like to remind everyone that this conference call is being recorded on Friday, August 8, 2025, at 11 a.m. Eastern time. I will now turn the conference over to Emma Murray, Vice President of Investor Relations. Please go ahead.
Emma Murray: Thank you, operator. Good morning, ladies and gentlemen, and thank you for participating in today's call. I'm joined today by Randy Smallwood, Wheaton's Chief Executive Officer; Haytham Hodaly, President; Curt Bernardi, EVP, Strategy and General Counsel; Vincent Lau, SVP and Chief Financial Officer; and Wes Carson, VP, Mining Operations. For those not currently viewing the webcast, please note that a PDF version of the slide presentation is available on the Presentations page of our website. Some of the comments on today's call may include forward-looking statements. Please refer to Slide 2 for important cautionary information and disclosures. It should be noted that all figures referred to on today's call are in U.S. dollars unless otherwise noted. With that, I'll turn the call over to Randy Smallwood.
Randy V. J. Smallwood: Thank you, Emma, and good morning, everyone. Thank you for joining us today to discuss Wheaton's second quarter results of 2025. Before we begin, I'd like to congratulate both Haytham Hodaly and Curt Bernardi for their well-deserved promotions. In June, the company announced the appointment of Haytham Hodaly, former SVP of Corporate Development to President of the company, and Curt Bernardi, formerly SVP, Legal and Strategic Development to Executive Vice President, Strategy and General Counsel. As we enter a new phase of transformative growth, the leadership of Haytham and Curt will play -- will be pivotal in driving our strategy forward. I look forward to working closely with them and the broader team to continue delivering long-term value to our stakeholders. Turning back to our results. Wheaton delivered another outstanding quarter, achieving record revenue, adjusted net earnings and operating cash flow for both the second quarter and the first half of 2025. This performance underscores the effectiveness of our streaming business model in leveraging rising commodity prices while maintaining strong margins. As a result of strong performances by key assets, including Salobo and Peñasquito, the company recorded production of 159,000 gold equivalent ounces this quarter and remains well positioned to achieve our 2025 production guidance of 600,000 to 670,000 gold equivalent ounces. We also made significant progress on our near-term growth strategy, as Blackwater announced commercial production and Goose successfully delivered its first gold pour during the quarter, a strong indicator that our catalyst-rich year is progressing as planned. The company remains well capitalized with over $1 billion in cash on hand at quarter end and a $2 billion undrawn revolving credit facility, which, when coupled with the strength of our forecasted operating cash flows, provides strong flexibility to fund all outstanding commitments as well as the capacity to acquire additional accretive mineral stream interests. We remain committed to disciplined capital deployment, focusing only on the most accretive opportunities that are structured to generate meaningful long-term value for all stakeholders. It's worth highlighting that our forecasted organic growth profile of 40% production growth by 2029 enables us to pursue opportunities that best complement our growth trajectory without compromising on quality or strategic fit. On the topic of sustainability, Wheaton was once again recognized among the top 10 companies on Corporate Knights' annual 50 Best Corporate Citizens in Canada, a multi-sector accolade that we are proud to receive. Following the quarter, Wheaton launched its second annual Future of Mining Challenge, with this year's exciting initiative focused on advancing sustainable water management technologies across the mining sector. The expression of interest phase is now open until August 29, and we are excited to engage with innovators who are helping shape the future of responsible mining. And if you haven't had the opportunity yet, I highly recommend exploring our recently published sustainability and climate change reports to learn more about our commitment to responsible business practices and ESG performance across all areas of our business. With that, I would like to turn the call over to Wes Carson, our Vice President of Operations, who will provide more detail on our operating results. Wes?
G. Wesley Carson: Thanks, Randy. Good morning, everyone. Overall production in the second quarter was 159,000 ounces, a 9% increase from the prior year, primarily due to stronger production at Salobo, coupled with commencement of production at Blackwater. In the quarter, Salobo produced 69,400 ounces of attributable gold, a 10% year-over-year increase, driven by higher throughput despite lower grades. This performance underscores the successful ramp-up of Salobo III and ongoing improvements at Salobo I and II. Vale indicates that by late July, Salobo III had fully wrapped up and that the entire complex is now operating at full capacity, consistently delivering strong operational performance. Antamina produced 1.3 million ounces of attributable silver in the second quarter, marking a 31% increase compared to last year. The increase was primarily driven by higher silver grades, partially offset by lower recoveries and reduced mill throughput as operations gradually restarted following a safety-related shutdown in April. Mill feed in Q2 was primarily composed of copper zinc ore, which contains higher silver grades relative to copper-only ore and supports stronger silver production. We expect production levels at Antamina to increase in the second half of the year due to increased recoveries and throughput as the mine returns to its typical run rate. During the quarter, Blackwater transitioned from commissioning to commercial production, producing 4,000 ounces of gold and 138,000 ounces of silver, totaling 7,000 GEOs year-to-date. The ramp-up has been both rapid and safe. Artemis Gold reports that by June, the mill was operating above design capacity, with over 5 million hours worked without a lost time incident, supporting solid steady-state production. Production output is expected to be weighted to the second half of the year as mill performance and feed grades continue to improve. Artemis Gold also reports they are fast tracking the design and implementation of the Phase 2 expansion, and a Board investment decision is expected later in 2025. Wheaton's production outlook for 2025 remains unchanged, and we believe we will remain well on track to achieve our annual production guidance of 600,000 to 670,000 gold equivalent ounces. At Salobo, production is forecast to remain steady throughout the remainder of 2025, supported by slightly increased throughput across Salobo 1, 2 and 3. Compared to the first half, production at Antamina is forecast to increase over the remainder of the year, benefiting from expected higher silver grades and higher throughput. Production at Constancia is also expected to improve over the remainder of the year, primarily driven by higher grades until the depletion of the Pampacancha pit, which is expected in December. As mentioned by Randy, we believe that our catalyst for this year remains on track and production from Mineral Park, Goose, Platreef and Aljustrel continues to be forecast for the second half of 2025. That concludes the operations review. And with that, I'll turn the call over to Vincent.
Vincent Lau: Thank you. As detailed by Wes, production in Q2 was 159,000 GEOs. Sales volumes were 158,000 GEOs, an increase of 28% from last year, driven by a strong reduction in the first quarter and the drawdown of produced but not yet delivered, or PBND, due to timing differences between production and sales. At the end of Q2, the PBND balance was approximately 130,000 GEOs, which is about 2.7 months of payable production. We expect PBND levels to trend back up to the higher end of our forecasted range at 3 months for the remainder of 2025, partly due to the ramp- up of new mines, which is expected to continue through the second half of the year. Strong commodity prices, coupled with solid production, led to record quarterly revenue of $503 million, an increase of 68% compared to last year. This increase was driven mainly by a 32% increase in commodity prices and a 28% increase in sales volumes. 65% of this revenue came from gold, 33% from silver and the rest from palladium and cobalt. With silver recently outpacing gold and reaching its highest level in over a decade, our substantial silver exposure sets us apart from our peers and positions us well to benefit from the current pricing momentum. Net earnings increased by 139% from prior year to $292 million, while adjusted net earnings increased by 91% to reach a record $286 million. Operating cash flow increased to $450 million, a 77% increase from last year. These gains outpaced the increase in gold and silver prices during the same period, highlighting the leverage from fixed per ounce production payments, which made up 85% of our revenue. During the quarter, we made total upfront cash payments for streams of $347 million, including $156 million for Koné, $144 million for Salobo, $44 million for Kurmuk and $3 million for Cangrejos. Following quarter end, we made an additional $156 million payment to Koné as the Montage team continues to advance construction. Overall, net cash outflows amounted to $80 million in the quarter, resulting in a cash balance of $1 billion at June 30. This cash balance, combined with the fully undrawn $2 billion revolving credit facility, plus the $500 million accordion, provides us with the highest amount of liquidity compared to our peers and we believe positions us exceptionally well to satisfy our funding commitments while retaining flexibility to acquire additional accretive streams. That concludes the financial summary. And with that, I turn it back to Randy.
Randy V. J. Smallwood: Thank you, Vincent. In summary, Wheaton delivered a strong performance in the second quarter, marked by several key achievements. We delivered record revenue, adjusted net earnings and cash flow for both the quarter and the first half of the year. We made meaningful progress on our near-term growth strategy, with Blackwater achieving commercial production and Goose successfully delivering its first gold pour, both milestones that reflect the steady momentum of our catalyst-rich year. Our growth profile was further derisked as construction activities advanced in a number of development projects, including Mineral Park, Platreef, Koné and Kurmuk. Our 100% streaming revenue model provides significantly greater leverage to rising commodity prices while keeping us insulated from inflationary cost pressures, resulting in some of the highest margins and strongest performance in the precious metals space. Our balance sheet remains robust, providing ample flexibility to pursue well-structured, accretive and high-quality streaming opportunities. And finally, we take pride in our leadership amongst precious metal streamers and have always and will always support both our partners and the communities where we live and operate. With that, I would like to open up the call for questions. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Matthew Murphy from BMO Capital Markets.
Matthew Murphy: Great quarter. Congrats, Haytham and Curt, on the promotions. Maybe just start off with a question on the deal environment. There's been a lot going on in the space, a number of transactions announced. You've got a lot going on organically. I guess the question is, how aggressive is Wheaton's stance on deals? Or does the organic growth story make you maybe a little bit more picky?
Haytham Henry Hodaly: Thanks for the question, Matt, and the kind words at the beginning. I will say that we focus on accretive transactions that will maintain our strong security structure. We've always done that. That hasn't changed just because we've got a great organic growth profile. We believe this will provide our shareholders with the safest precious metals exposure in the mining industry with, as Randy mentioned, over 40% growth over the next 5 years. We're looking at lots of opportunities. We are probably sitting between 12 and 15 opportunities that we're looking at right now. I would say 2/3 of those are development stage opportunities, 1/3 are probably operating and there's also some M&A opportunities in there as well. So we have a solid war chest with which to acquire additional accretive streams, and we're going to continue to try and deploy it. But again, not every stream is a Wheaton stream. It has to have certain characteristics that for us to add it to our strong portfolio already.
Matthew Murphy: Got it. Okay. Fair enough. Also, a separate question. Just on the cash tax, can you remind me what we should be thinking about in terms of global minimum tax and when we see cash tax paid picking up?
Vincent Lau: Matt, yes, for the cash tax, the GMT is applicable to the 2024 period, and we're going to make the first payment in 2026, I believe, in Q2 or Q3. So on our balance sheet, we have that characterized as a current liability now. So that's the amount that will go out in 2026.
Matthew Murphy: Okay. And it's just kind of a sequential every quarter after that as opposed to any sort of larger initial cash tax payment, is that correct?
Vincent Lau: Yes. We expect it to be kind of an annual sequence thereafter. So every year, we'll have to make that same payment going forward.
Randy V. J. Smallwood: Matt, the way the GMT works, it's almost like a sweep taxes. And so that's why it's delayed. 2024 will be paid in 2026, 2025 will be paid in 2027, et cetera, et cetera, because you get to deduct off whatever other taxes you've paid on your revenue during the subsequent -- the immediate year after the revenue. So it's like a sweep tax. It will always be staggered. So it's always going to be 2 years after the actual date.
Operator: Your next question comes from Brian MacArthur from Raymond James.
Brian MacArthur: It relates to there's discussion now with tariffs in the United States about gold going in there. And again, it will be the same as copper. But can you just go through -- I believe you take your deliveries in kind. Can you then sell it if the COMEX price ended up being very different than the LME price? Can you benefit from that from many ways? And I realize the tariffs bars not like ingots that come from a mine. But if you take it in kind, is there anything in your contract that prevents you from selling it anywhere? Or would you be able to take that arbitrage if it started to exist?
Randy V. J. Smallwood: Vince, do you want to take it?
Vincent Lau: Sure. Brian, yes, so first of all, we're insulated from any of the tariffs. We take delivery of credits of gold and silver in mainly London. So we're not subject to any of these tariffs. So at minimum, we would achieve the LME price. If there is a higher price in New York, we'll look to capitalize on that. But honestly, it's early days right now in terms of what that could be, and we'll have to look at how to do it. But it is definitely an opportunity that we could look to seek.
Randy V. J. Smallwood: It's pretty volatile, Brian. I mean this only came out and they came out, I think definitely as a bit of a surprise to everyone. And so I think we and the rest of the industry is looking for a bit more clarification, but it looks like it's -- from what we see so far, it's related to refined gold from Switzerland. And we're not sure how that goes beyond that and being imported, obviously, into the United States. And of course, as a tariff, it's only paid by whichever American entity is importing that or whoever is importing it into the United States. And so that's not our business. Our business is, of course, selling into the broader gold market. So as Vincent said, we are definitely insulated from it. But you could wind up with some -- if this does carry through, you could wind up with a bit of a differential in pricing. And we're always -- we've got a team down in the Cayman that's always looking for opportunities to try and take advantage of that. But tough to -- it's still fresh and so really it's tough to be able to look at and to predict if there's some opportunity there, but we'll definitely be looking.
Brian MacArthur: Great. That's very clear. And I just was trying to -- again, I don't -- we don't get to see your contracts. I just want to make sure there wasn't anything ever referencing an LME versus the COMEX or something that would prevent you from doing anything, but it sounds like there isn't.
Vincent Lau: No, there isn't.
Operator: Your next question comes from the line of Tanya Jakusconek from Scotiabank.
Tanya M. Jakusconek: Haytham, congratulations again for you. And I'm going to start with you back on to the transaction opportunities. You mentioned you have 12 to 15 opportunities. Maybe can you just -- with the opportunities out there and now several players, all looking at similar opportunities, I'm assuming. Are you finding that the terms are becoming more restrictive in terms of what you would generally like? And I say that just from trying to understand whether some of these terms, because I know you, you like to have parent guarantee. I'm just wondering, are the opportunities that you're seeing now becoming more restrictive on terms?
Haytham Henry Hodaly: Definitely, we'll be doing more competitive on terms, I would say, out there, Tanya. But at this point in time, for the opportunities that we're looking at and given where we -- how we structure our transactions, we're fairly comfortable moving forward and bidding on all of those opportunities. There are some opportunities, obviously, that we've seen in the marketplace of late that aren't necessarily the structure that we would like. They are still good opportunities, but I think we would look to get different types of structures if we went down that path. We were the successful bidders there.
Tanya M. Jakusconek: Okay. So you're not finding them more restrictive, you're just more -- you said more competitive?
Haytham Henry Hodaly: It's definitely more competitive, not restrictive. We're still seeing opportunities coming in daily and bidding on opportunities on a regular basis. We'll probably bid on more opportunities this year and larger opportunities than we have in any other year in the last 10 years.
Tanya M. Jakusconek: And then, Haytham, you mentioned -- again, you didn't mention size-wise, I think in the last conference call, you had mentioned working mainly in the $100 million to $350 million range and then a few in the $500 million to $1 billion. Can you just review with us what the ranges are right now that you're seeing?
Haytham Henry Hodaly: That's still -- we're probably still hitting the mark there, Tanya. I think there's probably, I would say, 80% are in the sub $400 million range. And there are a few transactions that are, call it, between $750 million, $1 billion to $1 billion plus.
Tanya M. Jakusconek: Okay. And then you mentioned that you're also -- 2/3 were developing, 1/3 operating and M&A opportunities. So when you talk about M&A opportunities, are you talking about corporate transactions?
Haytham Henry Hodaly: So I'm not talking about corporate transactions for Wheaton. What I'm talking about is supporting a transaction where assets are being sold, and they're looking for funding to acquire those assets. From a corporate transaction perspective, we keep models on everybody out there. It makes way more sense right now to continue to deploy capital into streaming agreements than to consolidate these -- any other company given the strong premiums that everyone's trading at.
Tanya M. Jakusconek: Okay. I just wanted to clarify that because I thought when you had talked about M&A...
Haytham Henry Hodaly: No, no, absolutely. Yes.
Tanya M. Jakusconek: Okay. If I could ask one just question on -- just on the guidance for the year. You've done very well in the 6 months. I think previously, the guidance had been 47%-53% production profile, second half weighted. I'm just kind of wondering, and you gave us some of the mines that are all going to do better in the second half. Can I just kind of think about whether that still makes sense for you and whether there is a bias to the fourth quarter over third quarter improvement on these assets?
G. Wesley Carson: Yes. Thanks, Tanya. It is definitely still at 47%-53%. And I would say that there's a slight bias to the fourth quarter, just as all of these properties start to ramp up in the fourth quarter. So we are seeing that kind of strong growth as the other operations kind of come online through the better -- the second half of the year. Really, I mean, Goose is just starting up, and we'll see a little bit of the Platreef here. We'll see Mineral Park starting up in the third quarter here and really kind of ramping up through the fourth quarter. So I think we'll see slightly stronger production in the fourth quarter, but that 47%-53% is still pretty accurate.
Tanya M. Jakusconek: And then just on the silver side, I noticed that Newmont had strong silver out of Peñasquito and they're, obviously, forecasting a dip in Q3 and then back stronger in Q4. So should I be thinking that your -- the second half of your forecast for silver should be relatively stable and you kind of see that increase in Q4 into Q1 of 2026?
G. Wesley Carson: Yes. That's accurate.
Randy V. J. Smallwood: Yes, one of the areas for possible upside there, Antamina is, of course, also an important silver producer for us. And they've had some challenges. But if they can get back on track, we would see a bit of a bump in silver production on that side, too. So we should easily be able to maintain, if not perhaps even grow a little bit of silver production over the course of the year.
Tanya M. Jakusconek: Okay. That's helpful. Congrats on a good quarter.
Operator: [Operator Instructions] Your next question comes from Daniel Major from UBS.
Daniel Edward Major: Thanks for questions, perhaps on a good quarter. Yes, a couple of follow-ups. Just on Matt's question on the tax. I have $115 million payment in '26, is that the right quantum of expected tax payment?
Vincent Lau: That's right, Dan. That's the payment. $120 million -- or $112 million is the exact number in our balance sheet. So that would be what I would reference for 2026.
Randy V. J. Smallwood: That's paid in 2026 for 2024, just to clarify.
Daniel Edward Major: Sure. Okay. And then the second question, just again a follow-up on Brian's question slightly on the mechanics of taking delivery of gold. So you take the credits, is that from the mine in the form of doré or from a refinery specifically? Because this tariff is only 2 gold refineries in the U.S. Do you take any credit delivery from those refineries? Because those would be the areas that could take advantage of the COMEX.
Vincent Lau: No. We take the credits directly from our counterparties, the mining partner. So we're not dealing directly with the refinery. There are a couple of small contracts where we're taking concentrate offtake, but I don't expect that to get impacted either. None of those refineries that our partners use are located in the U.S. or has interaction with them in that matter. So we're really insulated from these tariffs.
Daniel Edward Major: Okay. And then the next one, just on the deal pipeline, again, I mean the message, I think, from some of your peers in the last couple of quarters, there's been more interest in gold assets financing rather than copper or anything else. Has that changed at all? Is the main pipeline still more kind of gold focused in terms of assets themselves? Or are you seeing any byproduct assets coming available?
Haytham Henry Hodaly: The optimal structure would, obviously, we take precious metals out of a base metal company. And that's where you get the best margins, best contango. What I would say is that what we're seeing right now, I would say, is probably about 2/3 of those are still diversified and about 1/3 would be precious metals from a precious metals company.
Daniel Edward Major: Okay. So that's out of your pipeline, about 2/3 is byproduct and 1/3 is pure precious metals.
Haytham Henry Hodaly: It's still -- Precious metals is diversified base metal producer, correct. And 1/3 is precious metals from a precious metals producer given the strong margins obviously. We are not looking at the same margin as we have over the last 15 years. You've got some very strong margins with the gold prices doubling in the last few years.
Daniel Edward Major: Okay. And then just final one on the capital allocation. I mean, I guess, you articulated that you want to continue to focus on accretive ways to deploy capital. The consensus doesn't really have much in the way of growth and dividends going forward. I mean, should we be expecting any increase in the rate of growth and dividends given the increase in cash generation for the gold price? Or is it still going to be sort of focused on a very -- a slow growth -- progressive growth in dividend over the next couple of years?
Randy V. J. Smallwood: Daniel, I mean, we have committed to growth and the dividend. The scale of that growth is going to be dependent on how effective we are in putting capital back into the growth, right? If we don't see accretive well-structured agreements that are available for us to continue growing the portfolio, then you're going to see more cash go back to the shareholders through the dividend. You'll see higher growth on an annual basis if we are successful in terms of finding well structured, high-margin, good quality opportunities, accretive assets to add to our portfolio. And so I think the best judge of that is look at what our balance sheet is doing towards the end of each year and if we're busy making new investments. And always keep in mind that we do have capital commitments. This growth pipeline that we've got is going to be funded through our cash flows over the next while. But I think that's the best way to look at it. So if we have no significant tractions over the course of this year, you're going to see a higher rate of growth in the dividend. If we have a bunch of significant contract agreements or acquisitions over the course of this year, less capacity to put into the growth of the dividend. So it's going to be -- it's a balance that is always reflective of the market at the time.
Operator: Your last question comes from Cosmos Chiu from CIBC.
Cosmos Chiu: Congrats, Haytham and Curt for the promotions. Well deserved. Maybe my first question is on your sales in the quarter. As I can see, sales were a lot higher -- not a lot higher, but sales compared well in terms of production, in terms of numbers. Usually, we see that drawdown in Q4 and not in Q2. So was the higher sales compared to production in Q2 expected? And then kind of related to it, Vincent, as you mentioned, you expect inventory or produced but not delivered to increase for the rest of 2025. I guess my question is, how much visibility do you get from the operators? How much insight do you get from the operator? So were you surprised what happened in sales versus production in Q2? And how much visibility do you have on a go-forward basis?
Vincent Lau: Cosmos, yes, Q2 did benefit from a big drawdown in PBND. What happened there was Salobo, our biggest partner, did deliver a last shipment, right, before quarter end. That typically might have trickled into the next quarter. And these things are pretty unpredictable. It's really driven by when they shipped the shipment. So we expect, given the ramp-up of the new mines that we have coming on, to go back to about 3 months. So the drawdown in Q2 of 11,000 ounces, you're going to see that claw back a bit. That's our expectation. It's not something we could completely forecast. Again, it's really driven by shipment dates, but that's our expectation.
Cosmos Chiu: Great. Maybe switching gears a little bit. Wes, as you mentioned, Blackwater, Artemis, there appears to be a potential acceleration of Phase 2. I think Artemis will try to make a final decision by year-end 2025. Have you looked into like what's the potential impact to WPM? And have you quantified it in terms of what that could be? And is that potentially included in your long-term guidance?
G. Wesley Carson: Yes. Cosmos, I would say the acceleration is not included in the long-term guidance right now. I mean, if you look back at their feasibility study, they did have a Phase 2 and a Phase 3 in that feasibility study. And that's what we've got built into our long-term guidance right now. We are in regular communication with them. And certainly are excited about the idea of them accelerating that Phase 2. So -- but that isn't built into anything that we have at the moment.
Cosmos Chiu: But have you quantified it internally, externally, anything that you can share with us or maybe not?
G. Wesley Carson: No, no, other than what is in the feasibility study for them right now, but we haven't quantified it any further. It could certainly be accelerated.
Cosmos Chiu: Got you.
Randy V. J. Smallwood: Yes. And so the amount that Phase 2 would represent how much of an increase in production, sorry, I think it's been asked.
G. Wesley Carson: Yes. So the Phase 2 is a doubling of production and then Phase 3 is then up to another -- I think it's going up to about 30,000. I think it is in Phase 2 and then about 55,000, 60,000 in Phase 3. And what they're talking about right now is potentially accelerating that Phase 3. So -- and kind of combining a Phase 2 and 3. So a larger increase in initial. So -- and I think that's the exciting part is that doing that is much sooner than what they had originally intended.
Cosmos Chiu: I agree. That would be very exciting for WPM. And then at San Dimas, I noticed that the gold-silver ratio changed from 70 to 90 as a result of the moving commodity prices. To confirm, it's not going to go any higher than 90:1, I believe. But it does matter because I think the silver gets converted into gold before being passed on to you. So it does matter to you? And if silver prices do go for 1, when could it potentially come back down?
Randy V. J. Smallwood: Yes, we wind up having to get to the point where silver outperforms such that the silver-gold ratio gets down around 70. And then you would -- and it has to stay there, I think it's a 6-month period. Yes, 6-month period that it has to trade at those levels before the conversion ratio swaps. And so we have seen silver outperform gold of late. And so if you see continued strength, we're not ruling out that possibility, but, Cosmos, you've known me, well that I'm a little more bullish on silver than I am on gold. And so if some of that intuition is correct, hopefully, we will claw the other way.
G. Wesley Carson: We have benefited from it, the last 6 months of it being at that higher rate, and we've been getting paid at 70:1. So -- but it has to stay below 70:1 for 6 months in order to go back to the 70:1.
Cosmos Chiu: Okay. So sometime in next 2027.
G. Wesley Carson: Yes. And that's what I think.
Cosmos Chiu: I believe you. You've been right, Randy. And then maybe one last question. Maybe I can also ask about the deal pipeline? I'm kidding. I'm not. I want to start my weekend. And congrats on a very good quarter.
Randy V. J. Smallwood: Thank you, Cosmos, and thanks, everyone, for dialing in today. The strength demonstrated in the first half of this year does reinforce Wheaton's position as a premier low-risk choice for investors who are seeking exposure to gold and silver. Our high-quality portfolio, sector-leading growth profile and strong commitment to sustainability provides shareholders with a compelling outlook and what we believe is one of the most effective vehicles for investing in gold and silver. We'd like to thank all of our stakeholders for their continued support as we enter this exciting period of sustained organic growth. We look forward to speaking with you all again very soon. Thank you.
Operator: This concludes this conference call for today. Thank you for participating. Please disconnect your lines.